Operator: Good afternoon, and welcome to iHeartMedia's Fourth Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Andrey Hart, Senior Vice President of Investor Relations. Thank you. Please go ahead.
Andrey Hart: Good afternoon, everyone, and thank you for taking the time to join us for our fourth quarter 2025 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President and COO; and Mike McGuinness, our CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to our press release, we have an earnings presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our financial performance and operating results. These statements are based on management's current expectations, and actual results could differ from what is stated as a result of certain factors identified on today's call and in the company's SEC filings, including our recent 8-K filing. Additionally, during this call, we will refer to certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release, earnings presentation and our SEC filings, which are available in the Investor Relations section of our website. And now I'll turn the call over to Bob.
Bob Pittman: Thanks, Andrey. Good afternoon, everyone. We're pleased with our overall performance in 2025, especially given it was a nonpolitical year. In the fourth quarter, we generated adjusted EBITDA of $220 million at the midpoint of our previously provided guidance range of $200 million to $240 million, compared to $246 million in the prior year, which, as a reminder, benefited from approximately $80 million of political revenue. Our consolidated revenue for the quarter was $1.1 billion, up 0.8% compared to the prior year quarter and above our guidance of down low single digits. Excluding the impact of political, our consolidated revenue was up 7.7%. Turning to our individual operating segments. Now the Digital Audio Group generated fourth quarter revenue of $387 million, up 14.1% versus prior year and above our previously provided guidance of up high single digits. The Digital Audio Group generated fourth quarter adjusted EBITDA of $132 million, up 10.7% versus prior year. The Digital Audio Group's adjusted EBITDA margins were 34.1%, and we finished the full year at 34.4%, up from 32.5% in the prior year, which is consistent with our stated goal of achieving full year adjusted EBITDA margins in the mid-30s, and we see further upside from here. Within the Digital Audio Group, our podcast revenue momentum continues, and grew to $174 million, up 24.5% compared to prior year, which was above our guidance of up in the mid-teens. And in Q4, approximately 47% of our podcasting revenue was generated by our local sales force, up from about 13% in Q4 of 2020, demonstrating the unique advantage of having what we believe is the largest local sales force in media, with a presence across 160 markets in addition to our strong national sales force. And not only do we have the #1 audience in podcasting as measured by both Podtrac and Triton, the podcast industry's primary measurement services that measure actual downloads and users, we believe we also have the most profitable podcasting business in the United States. Our podcasting EBITDA margins remain accretive to our total company EBITDA margins, and we achieved this by continuing to apply rigorous financial discipline to building, partnering, and even renewing our podcast relationships. And one more thing to note. A key to our success in building our podcast business has been that podcasting is, in essence, radio on demand. For us, it's a truly adjacent and complementary business. We operate Broadcast Radio stations across the country, 24 hours a day, 7 days a week with almost 90% of the U.S. population listening every month, and we have the unique assets and expertise, including programming, production and distribution at scale, which power our strong podcast momentum in an expanding podcast marketplace. In the fourth quarter, our non-podcast digital revenue grew 6.8% compared to prior year. Turning now to the Multiplatform Group, which includes our Broadcast Radio, Networks and Events businesses. Fourth quarter revenue was $665 million, down 2.8% versus prior year and in line with our previously provided guidance range of down low single digits. Excluding the impact of political advertising, Multiplatform Group revenue was up 2.3%. The Multiplatform Group's adjusted EBITDA was $129 million. And as a reminder, the prior year benefited from approximately $40 million of political advertising revenue. We remain confident we can return the Multiplatform Group to EBITDA growth, and to reach that goal, in addition to our continuing efforts on cost, we're focused on 4 major drivers: number one, programmatic. We're the first radio company whose broadcast inventory is available through the existing programmatic buying platforms, enabling our Broadcast Radio inventory to participate in the growing programmatic TAM. And as a reminder of the progress we've already made in this effort, we have partnership agreements with Amazon DSP, Yahoo! DSP and others to include our Broadcast Radio inventory and their programmatic platforms. In the case of Amazon, we expect our Broadcast Radio inventory to be included in their programmatic platform in the second half of the year. Second, integrated sales. We serve as a true marketing partner for our Broadcast Radio clients and agencies. This marketing approach, which focuses on bringing all of our advertising assets to bear and not treating each campaign as a stand-alone transaction increasingly allows us to develop complex media and marketing plans utilizing the unique power of radio to drive the results our partners are looking for, including enhancements of the nonbroadcast components of their other media. Third, our broadcast outperformance. In 2025, we outperformed the radio industry revenue performance by 500 basis points according to Miller Kaplan. And given the unique scale of our audience, our ad tech platforms, and the fact that we have the largest local sales force and audio, we expect to continue to increase our share of the radio TAM moving forward. Fourth, our resilient radio audience. There are more broadcast radio listeners today than there were 20 years ago, and one constant in advertising is that the revenue always follows consumer usage, even if it sometimes takes a while. As the percentage of Broadcast Radio usage among consumers is far greater than the share of the advertising revenue that Broadcast Radio enjoys, we remain encouraged about this upside potential. We also see some important partnership announcements as validation of the power of Broadcast Radio with important companies like Netflix and TikTok, coming to partner with us and our Broadcast Radio assets. We're now premiering new music with TikTok and radio including last week's preview of Bruno Mars' new album, which set a new bar for the largest album preview and demonstrates the unique power of iHeart and TikTok working together to help artists achieve their goals. And it's also interesting to note that if you look at our video podcasts that are on Netflix today, some of the most popular ones are actually derived directly from our radio shows, including the Breakfast Club and Bobby Bones, more evidence of the unique power of our radio personalities and assets. And finally, before I turn it over to Rich, let me give you our view of the current advertising marketplace. Last year, we successfully navigated an uncertain ad market, and although there was definitely some disruption to the advertising marketplace in this quarter due to major weather events, and there still remains some macro uncertainty as well as clearly evidenced by the events in the Middle East over the weekend we view the advertising marketplace as reasonably healthy, and we still expect a year of meaningful EBITDA and free cash flow growth for iHeart, and Rich will provide you with those details. And with that, I'll turn it over to Rich.
Rich Bressler: Thank you, Bob, and good afternoon. Our Q4 2025 consolidated revenue was above our guidance of down low single digits and was up 0.8% compared to the prior year quarter. Excluding the impact of political, our consolidated revenue was up 7.7%. Let me provide you with some additional detail on our advertising revenue performance this quarter. As a reminder, one of our strengths is our diversified advertising revenues. There is no advertising category greater than about 5% of our total advertising revenue, and no individual advertiser that is more than 2% of our total advertising revenue. In the fourth quarter, the largest category gainers in terms of absolute dollars were financial services, retail, entertainment and beauty and fitness, and the 4 categories that declined the most in terms of absolute dollars were political, government, restaurants and food and beverage. And in the fourth quarter, our 5 largest advertising categories in terms of absolute dollars were health care, homebuilding and improvement, financial services, retail and entertainment. Our consolidated direct operating expenses increased 2.4% for the quarter. This increase was primarily driven by higher variable content costs associated with the revenue growth of our digital businesses partially offset by a decrease in costs incurred in connection with our cost savings initiatives as well as decreased employee compensation costs. Our consolidated SG&A expenses increased 4.6% for the quarter. This increase was primarily driven by expenses related to our noncash co-marketing partnerships, partially offset by a decrease in costs incurred in connection with our cost savings initiatives, as well as decreased employee compensation costs. We generated a fourth quarter GAAP operating income of $86 million compared to an operating income of $105 million in the prior year quarter. We generated adjusted EBITDA of $220 million at the midpoint of our previously provided guidance range of $200 million to $240 million, and compared to $246 million in the prior year. As a reminder, Q4 of 2024 benefited from approximately $80 million of political advertising revenue. Before I turn to our segment performances, I want to give you an update on our cost savings initiatives. We are currently implementing $50 million of new in-year cost savings, which will start to benefit from beginning in Q2. This is in addition to the $50 million of cost reductions we announced on last quarter's call, which will bring our 2026 in-year cost savings to a total of $100 million. And as a reminder, we achieved the previously announced $150 million of net cost savings in 2025, and we continue to work on the efficiency of our operating structure, including using technologies like AI-powered tools and services. Turning now to the performance of our operating segments. In the fourth quarter, the Digital Audio Group's revenue was $387 million, up 14.1% year-over-year and above our guidance of up high single digits. The Digital Audio Group's adjusted EBITDA was $132 million, up 10.7% year-over-year, and our Q4 adjusted EBITDA margins were 34.1%, compared to 35.1% in the prior year. Within the Digital Audio Group, our podcasting revenue was $174 million, which grew 24.5% year-over-year, and above the guidance we provided of up mid-teens. Our fourth quarter nonpodcasting digital revenue grew 6.8% year-over-year to $213 million. Turning now to the Multiplatform Group. Revenue was $665 million, down 2.8% compared to prior year, in line with our previously provided guidance range. Excluding the impact of political revenue, our Multiplatform Group revenue was up 2.3%. Adjusted EBITDA was $129 million, down 14.2% from $150 million in the prior year quarter. As a reminder, the Multiplatform Group's prior year Q4 adjusted EBITDA benefited from approximately $40 million of political advertising revenue. The Multiplatform Group's adjusted EBITDA margins were 19.4%, compared to 21.9% in the prior year quarter, which, as a reminder, was a political year quarter. As we have previously discussed, some of the investment in our proprietary audience database, which is the foundation of our broadcast programmatic offerings take the form of co-marketing partnerships to drive engagement with the iHeartRadio Digital Services. In Q4, these relationships, again, drove an increase in our noncash partner marketing revenues and expenses. We will continue to experience some quarterly mismatching of these noncash marketing campaigns in both directions in subsequent periods, and we believe that obtaining these critical marketing resources for our broadcast programmatic initiative on a noncash basis is a prudent way to optimize capital and to achieve our goals. Turning to the Audio & Media Services Group. Revenue was $79 million, down 19.3% year-over-year. Q4 of the prior year benefited from approximately $35 million of political advertising. Excluding the impact of political revenue, the Audio & Media Services Group revenue was up 21.8%. Adjusted EBITDA was $31 million, down 35.7% compared to the prior year. Again, due almost entirely to the impact of political advertising in the prior year quarter. In the fourth quarter, our free cash flow was $138 million, or $158 million when including the proceeds from certain real estate asset sales compared to a negative $24 million in the prior year quarter. Our Q4 2025 EBITDA to free cash flow conversion was approximately 70% and demonstrates the company's high free cash flow conversion characteristics and gives us confidence in our ability to generate meaningful free cash flow in 2026 and thereafter. At year-end, our net debt was approximately $4.5 billion. Our total liquidity was $640 million, and our cash balance was $271 million, which includes $50 million borrowed under the ABL facility. Our year-end net debt-to-adjusted-EBITDA ratio was 6.6x. Let me now turn to our guidance for the first quarter and the full year. Within the context that Bob discussed regarding the health of the current advertising marketplace. For the first quarter, we expect to generate adjusted EBITDA of approximately $100 million. We expect our consolidated revenue to be up high single digits compared to prior year. Our January revenue was up approximately 1% year-over-year, and as a reminder, January 2025 was a strong comp, up 5.5%. Turning to the individual segments. We expect the Digital Audio Group's revenue to be up mid-teens year-over-year with podcast revenue expected to grow in the low 20s. We expect the Multiplatform Group's revenue to be up mid-single digits year-over-year. We expect the Audio & Media Services Group revenue to be up high single digits year-over-year. We are continuing to invest in our important broadcast programmatic efforts that Bob discussed, and our guidance includes the impact of those incremental expenses, and the good news is that the majority of this asset-building expense is noncash. And for the full year, we expect adjusted EBITDA to be approximately $800 million, and our free cash flow to be approximately $200 million. Embedded in our adjusted EBITDA guidance are the following. We expect the Multiplatform Group to get back to adjusted EBITDA growth during 2026. We expect to generate approximately $200 million of overall programmatic revenue in 2026, up approximately 50% from $135 million in 2025. And as a reminder, we expect our broadcast programmatic revenue trajectory to be similar to that of the growth we experienced in podcasting revenue. We expect podcasting revenue to continue its strong momentum. We expect this to be a robust midterm election year in terms of generating political revenue. And as mentioned before, 2026 will benefit from $100 million of in-year cost reductions, which will help to offset investments we're making to build out our future technological capabilities. Let me provide some additional inputs embedded in our free cash flow guidance. Interest expense will be approximately $440 million. Cash taxes will be approximately 5% of adjusted EBITDA. Capital expenditures are expected to be approximately $90 million. Cash restructuring expenses will be approximately $50 million. Working capital is expected to be a source of cash this year, driven by political revenue, which is paid upfront. We expect our net leverage ratio at the end of 2026 to be in the mid-5s, which would be more than a full turn improvement year-over-year. We are looking forward to 2026 being a year of significant adjusted EBITDA and free cash flow generation for iHeart, driven by the return of the Multiplatform Group to EBITDA growth, the continued strong momentum of our podcasting revenue and audience, our growing programmatic revenues, and our continued focus on efficiencies as evidenced by our cost savings initiatives. Now we'll turn it over to the operator to take your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Aaron Watts from Deutsche Bank.
Aaron Watts: I've got a couple of questions, if I may. Encouraging to see the growth in core MPG revenues in 4Q and continued strength on the digital side. I thought it was interesting to see Digital EBITDA larger than MPG in the quarter as well. But as I look ahead, I appreciate, if you could help me understand why you're seeing high single-digit revenue growth in the first quarter but a small decline in year-over-year EBITDA despite all the costs you're taking out, and perhaps how to think about those same factors impacting first quarter as we think more about the full year performance, too.
Rich Bressler: Sure. It's Rich. Let me start. First of all, again, I don't think you see that same. You don't see that same dynamic as you go through the full year. I think, as you can look at our overall guidance for the full year. The second thing is just as a reminder, our first quarter numbers are so small compared to the rest of the year. Again, if you look historically in 2025, '24, you look at 2026, what we got for Q1 and what we're guiding for the full year. And also because, again, with the land of small numbers coming out of the quarter of Q4, which is a land of much larger numbers, and are continue to build up on our total critical programmatic offerings that we have, we continue to do copartner and noncash in Q4 as a way to support that and ramp up. And I think, we started to talk about that in Q3, so it was kind of a natural build. And then some of that about prepaid marketing that's in Q4 and that built up throughout the year, is getting deployed in Q1. So it comes back as expected. So it's just a lot of moving pieces, but it just gets really accentuated because of the land of small numbers in Q1. But as you go throughout the year, you won't see that same kind of effect.
Aaron Watts: Okay. Great. That's helpful. And then thinking about your costs, and I apologize if I missed this, but how should we think about the cadence of the now $100 million of cost savings that you're targeting as we move through the year across like first quarter, second quarter, third quarter, fourth quarter? And then are there cash costs we should model in to achieve those that you could help us with?
Rich Bressler: Yes. So just on the cost, just doing the math, if you take the program we already announced at Q4 for 2026, take what we're announcing today, which starts to be implemented in Q2, but it's a full year $100 million of cost, in 2026. Think about it just the math, $12.5 million, let's say, to Q1, and about $28 million of the quarter after that.
Aaron Watts: Okay. Perfect. And then, on the political side, we've heard robust expectations for political spend this year, and it sounds like a few races, including Texas are off to a really fast start. As we look at your $800 million of EBITDA guidance for the full year, what political assumptions are you baking into that to help us get our mind around kind of what upside there could be from that number?
Rich Bressler: Yes. I mean we've always said, and I continue to say is that we expect 2026 to be a strong nonpresidential cycle political year, and we're seeing obviously all the same signs.
Aaron Watts: Okay. All right. Great. And if I could ask one last question, and I appreciate the time. From the outside, as we sit, what benchmarks or milestones should we be looking for with regards to your programmatic efforts as well as some of your recently announced partnerships, including Netflix and are those partnerships adding to the strength in your podcast forecast?
Bob Pittman: Well, I think, in terms of the programmatic, programmatic obviously benefits everything we have, podcast digital streaming and broadcast radio. Broadcast radio is obviously the harder one to get into programmatic because the programmatic systems have really been built for digital inventory. But as we announced, we are going into the Amazon DSP with broadcast, also the Yahoo! DSP, both major DSPs and continuing to add more to that. So that's encouraging on that front. I think, in terms of how we think it all fits together and how it helps us, obviously, there's a piece of the revenue pie out there that is programmatic. People want to buy programmatically. And if you can't offer programmatic, you're not going to get any of the money. So having that kind of capabilities for our podcast and broadcast radio in particular, is very important to us and certainly is behind why we're investing what we have in it and why we're seeing the kind of growth, we are, I think, in terms of the video podcast talking about Netflix and those opportunities, we've got this wonderful expansion of the marketplace from just audio to video podcast. Now most people still want to listen to a podcast. The use case is generally in a place where you can't use your eyeballs. But there are people who do want to watch it and -- or we'll watch it occasionally, and we're seeing that market beginning to open up. And for us, that is sort of unforeseen revenue opportunities. And I think, Netflix is -- I probably give credit. YouTube probably opened that up -- people's eyes to that, and Netflix, I think, has taken it to a whole other level. And we expect that to be a continued expanding market for us as well.
Rich Bressler: And by the way, just one last item close. As we said in terms of our guidance that we expect total programmatic revenue to be approximately $200 million in 2026, up 50% from our total revenue in 2025. So I think, that's a pretty good benchmark in terms of benchmarking our total programmatic progress.
Operator: Our next question comes from Stephen Laszczyk from Goldman Sachs.
Stephen Laszczyk: Bob Rich, I was curious if you could talk a little bit more about the underlying drivers of growth in the podcasting business, continued strong performance to finish 2025. Just curious if you could unpack a bit more what you expect to see in '26? And then also too, if you look further out in '27 and beyond, just the drivers of adding new content, improving engagement, improving monetization, where you see the most opportunity for growth on that front. And then I guess related to that, Bob, I think you might have mentioned margins in the mid-30s is continuing to have opportunity to move higher. Just curious what you see as the key drivers on that front as well.
Bob Pittman: Well, look before Rich jumps in, I just want to say, I think on podcasting, what's great is you have so many vectors of growth. You not only have more people using podcast, but you have them using more podcast each year. And obviously, we're seeing inventory opportunities continue to grow as well. And as we look at getting podcast, from our standpoint, we have this incredible flywheel effect because we are the largest podcast publisher by a pretty good margin. We tend to get first look at everything. So if we don't take it, it's because we could figure out how the economics work and we are -- have pretty strong financial discipline in terms of making sure that we have podcasts that are legitimately good businesses for us. And we also have the ability, because we mentioned in the call, we have this incredible array of assets for our broadcast radio that we can apply to podcasting and allows us to build podcast from sort of scratch. And if you look at the major podcast players, we're probably the only ones that have built podcast as opposed to just buying podcast packages from others.
Rich Bressler: Yes, and look, the only thing I'd add on the margin front, and you've heard Bob, myself and Mike talking about what our goal was on the annual podcasting margins, EBITDA margins, I'm sorry, to be clear, and with respect to DAG, I would just put the overall context and the overall umbrella and you see, if I believe, continue to demonstrate, not just in words, is us striving just to become more efficient in every revenue stream, and in every support in our business. So when we talk of it, and I think you all agree, it's a natural outgrowth that, yes, we're at what we had talked about getting to the mid-30s on EBITDA margins for DAG, but we're never going to stop trying to improve those and take advantage of technology and continue to improve upon our risk of in terms of capital allocation, and bring more to the bottom line.
Stephen Laszczyk: That's great. And then just a quick follow-up. Within that, I'm curious how big of an opportunity you think video podcasting is perhaps over the next 12 to 24 months? Is this something that can move the needle revenue wise? Or would we need to see maybe an expansion of the Netflix agreement to get it to the point where it starts moving the needle on growth and margins higher?
Bob Pittman: Well, look, I think you've got two major video players who really pretty much signal that they want to play in video podcasting, YouTube and Netflix. I suspect we're seeing, and you hear talk from others that they're also interested in it. So I think that's probably what's going to drive the expansion of it. We certainly know that we can promote these podcasts in a way they've not -- that other streaming shows are not promoted because we're able to utilize our broadcast radio where you've got 90% of Americans listening every month to our broadcast radio. And if you listen to Charlamagne tha God or Bobby Bones or some of the people that are on Netflix, you hear that they're again promoting their appearance there and their podcast there. So I think it gives them a pretty strong showing.
Operator: Next question comes from Sebastiano Petti from JPMorgan.
Sebastiano Petti: I guess, Rich, first, I wanted to follow up. You did call out the anticipated growth rate in programmatic for the year. I mean, can you just help us, maybe give us what the 2024 programmatic revenue growth rate was just so we can kind of think about the glide path there? And then relatedly, talking about the DAG margins, obviously, still you have remain healthy, but I think the fourth quarter 2025 DAG margins were, I think, down year-over-year and I think the lowest fourth quarter since fourth quarter of 2022. Anything driving that? You talked about some of the noncash partnerships kind of going back and forth. I wasn't sure if there's anything maybe idio in the quarter? And then lastly, bringing broadcast to -- back to EBITDA growth or MPG rather back to EBITDA growth. Should we [indiscernible] of incremental savings coming through in '26 are kind of concentrated back towards MPG and hence, the flex you're going to see there?
Rich Bressler: Well, let me start. I'll take a couple and then Bob and Mike could chime in. On DAG, as we've always said, there's so many moving pieces on a quarter-to-quarter basis and understand we report on a quarter basis in terms of the margins and understand the questions. But we are -- that's why we have focused people for years and years in terms of, really look at the annual margin base because there's just so many moving pieces that could affect the individual quarters. And again, look at the rhythm of our business, Q1 is the smallest, Q2 and Q3, as a general rule, are relatively similar. And then Q4 is the biggest, which I don't think is anything different than any other ad-supported business out there. When it comes to MPG and getting back to EBITDA growth this year, I think we did a pretty good job of outlining what the underlying factors were, I don't have anything in addition to add to that that we outlined in the remarks, all the different pieces there, ranging from whether it's continuing to take market share, as Bob talked about, and Miller Kaplan and right down to just looking at our overall revenue growth, including our total programmatic revenue growth as you kind of go into this year out there. So not -- I don't have anything different to add to that. And then in terms of 2024 to 2025, I'm seeing -- Michael, listen, I don't have the 2024 number in hand, the total programmatic revenue growth. But I would -- I don't want to speculate, but it will be substantially less than it was in 2025. But we can circle back and get you that number.
Bob Pittman: Yes. And if I could just add one thing just to put in and what Rich said. I think on MPG, there's really 2 vectors. One is cost out. You're absolutely correct. It is the business that we've been able to apply technology to get more and more efficient, and I think make the product better and better. And the second is advertising is -- and there are multiple reasons why we think and why we see the advertising opportunity from programmatic if you want to do an audio buy, you can't get reach without broadcast radio. And in video, you can get reach without broadcast television. They're no longer the reach medium. We're the reach medium in audio. So as people get more and more into audio and really get to -- they have to get the results, there's no way to make the plan without it. So we know it's going to find its way there. And it's just a question of how and when. And finally is pushing the client direct marketing capabilities we have is pretty powerful. When you consider these on-air personalities we have on radio, there's nothing like it. They're probably the most powerful influencers today, and when they talk about something, people notice.
Rich Bressler: And by the way, one last point is just as a reminder, which we've talked about in previous question, 2026 is a nonpresidential election cycle, which we expect the great greatly benefit from as a company.
Operator: Our last question comes from Patrick Sholl from Barrington Research.
Patrick Sholl: If I could ask another question on programmatic. You talked about the kind of mismatch of revenues and expenses as you kind of build up your capabilities there. I'm just wondering like how much of a drag you expect that to be on EBITDA for the full year?
Bob Pittman: I think it's built in the numbers we're talking about everything you've got there. So I think, again, we've been pretty prudent in how we've built programmatic. So it's not a big impact on earnings. And we found some ways to build it out using primarily noncash marketing expense as well, which we think has a tremendous benefit to us.
Rich Bressler: If there are no other questions, thank you all again for listening to the iHeart story on behalf of all of us. And we are available, as always, for follow-up questions, myself and Mike and the team. Thanks very much.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.